Unidentified Company Representative: [Interpreted] Good morning and welcome to the Third Quarter Results for Gafisa. In today’s teleconference, we have Mr. Sandro Gamba, Chairman of Gafisa; Andre Bergstein, CFO and Investor Relations for Gafisa; Rodrigo Osmo, also Chairman of Tenda; Felipe Cohen, CFO and Investor Relations Director for Tenda. We would like to inform that this teleconference is being recorded and all the participants will be in the listen mode only. After that, we will have a Q&A session. [Operator Instructions] Before beginning, we would like to inform that this teleconference has to do with the results of Gafisa in the third quarter of 2015, and based on information currently available. They involve risks and uncertainties and may refer to future events. Any changes in macroeconomic policies or legislation and other operating results may affect the performance of the company. Now I would like to pass the floor to begin the presentation.
Andre Bergstein: [Interpreted] Good morning and thank you for being with us today. In spite of the unfavorable economic environment in 2015, Gafisa continues to have positive results in the second-half of the year. We finished the nine months of 2015 with a consolidated net profit of R$73 million, thus changing the loss in 2014. In the third quarter, the net consolidated result was R$3 million and R$10 million loss in the previous year. The Gafisa segment continued with positive results with a profit of R$2 million in the quarter and R$30 million in the nine months of 2015. The Tenda segment continued and now contributed with a result of R$12 million, thus with a year-to-date profit of R$43 million. The results in the first nine months of the year are aligned with the strategy of the company to improve its operational performance and improve its level of profitability, even considering the current situation in the market. With this context, I would like to highlight the good performance of Gafisa and Tenda projects during the quarter. The Gafisa segment has maintained the stability in terms of the profitability of its projects, while Tenda continues with the consolidation of its new business model. Thus, they contributed for a consolidated adjusted gross profit of 35.2%. In the third quarter, Gafisa was responsible for the launch of four projects totaling R$288.2 million. In the nine months of 2015 seven projects of R$616 million. Also we reduced our inventory, responsible for 71% of the sales in the quarter that reached R$247 million. These sales contributed for the speed of sales to reach 11% in the third quarter of 2015. This result is superior to that of the second quarter. Of the R$670 million in net sales, inventory sales represented 77%. We closed the quarter with R$2 billion in inventory and R$96 million in the cities that were discontinued, a reduction of almost 50% in comparison with the year. And adjusted gross profit of Gafisa reached R$152 million, allowing us to maintain our level of profitability with a gross margin of 37.9%. Year-to-date, the adjusted gross profit of Gafisa reached 37%. This level of profitability really shows the good performance of our projects as a consequence of the continuous improvement of our business cycle. The net result was R$1.7 million, reaching R$30 million in the year. With the perspective of maintaining the current economic scenario, our expectations for the last quarter are to maintain this conservative posture, trying to balance the placement of new products in the market, giving priority to those that have more liquidity in order to reach adequate profitability levels. Now, I would like to pass the floor to Mr. Felipe Cohen, who will comment the highlights of Tenda.
Felipe Cohen: [Interpreted] Thank you, Andre. Good morning. Concerning the economic segment, Tenda continued the sequence of good results and had a net profit for the third consecutive quarter. This good performance is due to the higher scale, more scale, and a better efficiency in the management in the Tenda segment. Now continuing with the expansion of operations, in the third quarter of 2015, Tenda had its largest volume of launches since the beginning of its new business model with R$318.6 million in launches in nine new projects or phases distributed in all the metropolitan regions, where we operate, Sao Paulo, Rio de Janeiro, Belo Horizonte, Porto Alegre, Recife, Salvador. In the year, the Tenda segment has R$786.3 million in launches, 30% above the volume launched in 2014. The speed of sales reached in this quarter of 23% was one of the main highlights of the segments with due to the greater availability of products and also – and more sales and a significant reduction in the cancellation of purchases in the period. Net sales continue at a healthy rate totaling R$245.2 million, very superior to the R$36.9 million that we had in the third quarter of 2014. Year-to-date, net sales R$788.6 million, almost three times higher when compared to the nine months of 2014. Now, concerning deliveries in this quarter, Tenda delivered five projects representing 1,304 units and R$197.5 million. Of these, 52% are in the new model. Year-to-date, we delivered R$591 million, 58% concerning in the new model, always reaching the profitability that we established for the business, which are gross adjusted margin consistent and superior to the 28%, VSO 7%, and an expectation of cancellations not superior to 15% of gross sales. We would like to stress that in this quarter, Tenda delivered the two large – the two legacy projects that were in construction. Now we are totally dedicated to develop new projects. The good operational performance of this – of Tenda had an adjusted gross profit reaching R$71.2 million in the third quarter of 2015, and adjusted gross margin 32.1%, as an effect of the consolidation in the new model and a better performance in profitability. In the third quarter of 2015, the net result of Tenda was once again positive, reaching R$11.8 million, substantially higher to the loss of R$25.2 million in the third quarter of 2014. In year-to-date, the net profit was R$43.3 million in comparison with the net loss of R$80 million in the previous year, as a result of better financial and administrative operation at Tenda. We continue to make efforts to have a better more scale with launches and also the use of strategies to deliver also the products. With the performance in the last quarters, we have trust, therefore in the new model. Now I would like to pass the floor back to Andre.
Andre Bergstein: [Interpreted] Thank you, Felipe. In consolidated terms, Gafisa and Tenda launched R$606 million in the third quarter of 2015, getting to R$1.4 billion year-to-date nine months. Also here, net pre-sales R$433 million in the quarter, R$1 billion in the year. Adjusted gross profit, here we can see adjusted margin of 35%. Year-to-date reached R$603 million with adjusted gross margin of 35.2%. There is still one thing that is very important in the current scenario. The company is trying to have a better balance in its cost structure and expenses structure. In the third quarter, the expenses with sales and general expenses reached R$90 million, and year-to-date, expenses R$250 million, 7.2% less in relation to the nine months of 2014, confirming thus our commitment to have a better balance and efficiency in the cost management and expense management. As a result of these initiatives, and as mentioned before, the net consolidated profit in the third quarter was R$13 million, thus closing the nine months with a net profit of R$73 million, and in comparison with R$50 million loss in the past. In September this – the relation between net profit is thus stable in relation to the previous one. Excluding the financing of projects, this relationship between these two represented a negative result of 13.2%, with cash generation – consolidated cash generation of R$78 million, reaching R$95 million in the year. The company closed the quarter with a consumption of net cash of R$6 million totaling consumption of R$104 million in the year. The company begins the last quarter of 2015, trying to maintain its focus on the operating – on the better operating results with discipline in the capital and looking for a better profitability and value generation for shareholders and other stakeholders. Thank you for your attention. And now we are available for the questions.
Operator: [Interpreted] We will begin now the Q&A session. [Operator Instructions] Our first question is from Mr. Daniel from Votorantim Bank. You may – you have the floor, sir.
Daniel Malheiros: [Interpreted] Good morning. I would like to know your perspectives concerning the accrual in this quarter, what we can expect for next year the accruals? And also, for example, you have three blocks of land and R$90 million in the land bank. Why did you add them back? Why did you place them once again back in the bank – in the landbank?
Andre Bergstein: [Interpreted] Daniel, good morning, Andre. Well, I will speak about the accruals and then Felipe will talk about Tenda and the second question. Concerning the accrual, we have lawsuits, they increased this year. We have worked a lot on this and this is the result mainly of the volume that we have of labor lawsuits. We see some – many – the number of lawsuits that we had, some are a little different. We have been working on many fronts, we adjusted the structure of the legal department. We have made agreements. We have a legal committee that gets together frequently with the Board of Directors and we have worked strongly to understand the reasons for the lawsuits in order to decrease the volume of lawsuits. And also we have improved the system with deciding that both on the labor side and also on the other lawsuits understanding the reasons and working on them has been our practice. We have been doing this since last year concerning construction, employees, also contractors. So we have been working on this very strongly. It’s still premature to say when the number of lawsuits will go down. We have seen, for example, some projects that have delays, we don’t have any delays. We have one that will be delivered in Rio until the end of the year. So we have a lower volume in terms of delays in delivering the units. So we are working on this, improving the process. We don’t have any delays in construction, we – also the employees and vendors, so this will drop. It’s not something that will happen in the short-term, but in the medium-term, we should see a drop. And also in terms of operating expenses apart from legal, we also have conciliation, and we had to write-off some deposits in the quarter. We have optimized the control of the control that we have. And as a result, we have a new calculation, a new conciliation, and we wrote down R$7 million in court deposits in this quarter.
Felipe Cohen: [Interpreted] Daniel, talking about the landbank of Tenda, I would like to remind you the company has an old landbank that was acquired in the past that is not adequate for our new model. We, for example, now we are using aluminum molds, certain topology, so even the geometry of the plot of land, if it’s not adequate for the new model, we prefer to sell it. And thus, you can see the number of plots of land, R$120 million of plots of land that we are selling. Now, concerning the inclusion, this happened in the Strait of Minas Gerais. This is a region where we still have the last legacy projects that were delivered now in the last quarter. And the philosophy of the company was to use the new model as the reach now office, where we finished the legacy projects, solving the problems of the legacy projects. We didn’t have any great changes, but once we finished our legacy projects, we analyzed the plots of land that we had and especially those who were on sale, and we saw that some plots of land could be used in the new process. So in this way, these plots of land that are for sale, we were continually evaluating them to see if it’s interesting to sell them, or to build on them. In this case, we had these plots of land in Minas that we included once again in the landbank.
Daniel Malheiros: [Interpreted] Thank you, Felipe.
Operator: [Interpreted] The next question is from Mr. Fred from HSBC. Sir, you have the floor.
Fred Mendes - HSBC: [Interpreted] Good morning. I have two questions. The first, do you have an idea of when the company will be really launched in projects in 2016, especially contacts with the government and also financial expenses in Gafisa? Well, the company is financing directly now the buyer. So at the bank, we would have lower rates and this difference of expenses really had an impact on finance.
Unidentified Company Representative: [Interpreted] Good morning, Fred. Andre will begin with the second.
Andre Bergstein: [Interpreted] So financial expenses, answering your questions, we don’t have as a practice to finance buyers directly. Normally, commercial units, yes, it’s different. You have some direct financing, but this was not the reason for the impact. We had a swap of a credit line that we had and we swapped it to and we changed it to CDI, which is a three, four-year credit line for projects and with higher interest rates. We had an effect of almost R$12 million due to higher interest rates. This generated the impact. We will continue with this. I don’t see this curve changing very much in the short-term, but in the long-term, this will go down, we had this impact of R$12 million.
Rodrigo Osmo: [Interpreted] Fred, Rodrigo. Concerning the 1.5 range, there are some important definitions for the company to see the feasibility of this segment from the government and when we would begin the work there. There are four technical definitions that have a substantial impact on the activities in this segment. One has to do with the topology. The government is still discussing the type of topology maybe it will be more expensive than Range II. Also the existence of 1% difference, this changes significantly things in this segment. The other is concerning the subsidy curve – the maximum subsidy. Now it varies according to income levels, this is to be defined. And finally, there is a discussion with the government, which we haven’t ended in terms of the list of city halls. If the sale depends a lot on the list of city halls, then we would have an impact problem. So these are four points that haven’t been defined yet. Even if all of them really come out with good results, there is a fifth issue – a fifth point that will determine the speed with which we will go into this segment, the possibility of using or not using Range II products to go into Range 1.5. Then if the government demands that even though it’s already approved must be in accordance with the new topology, then we would use this only for future project. We wouldn’t be able to include them in the current projects. Now, if the government makes an exception within the projects that we have launched in Range II, we could sell units in Range 1.5. bracket 1.5. Depending on the scenario, we could begin doing this at the beginning of next year, or we would have to wait new launches, and this would be going to the end of next year and also subject to the analysis of the attractiveness of the segment.
Fred Mendes: [Interpreted] Perfect. Just one more follow-up question. Tenda’s margin increased now that you have delivered all the legacy. Can we expect a higher margin, or do you believe it will stabilize between 20%, 30%?
Rodrigo Osmo: [Interpreted] Well, in a certain way, we finished all the legacy projects. The margin that we have seen with a good evolution at the last quarters is a result of this. Now the issue is we see a year of 2016, which will not be – which is not well defined. Due to the allocation of the projects within the government’s programs, we have an increase in the interest rates, which will limit the capacity of clients to finance. This is the main problem that we see – the main problem that we see when we compare the current situation in the government program the My House II. When we analyze the project, bearing in mind, the social factor, which is a new parameter that the program is having together with the increase in interest rates, we will have a little capacity in terms of pricing in relation to this year. It’s difficult to tell you the value. But at the same time, as we have a trend to improve due to the delivery of legacy projects, 2016 will be more difficult than 2015.
Fred Mendes: [Interpreted] Thank you.
Operator: [Interpreted] The next question from Mr. Gustavo Cambauva from BTG Pactual. You have the floor, sir.
Gustavo Cambauva: [Interpreted] Good morning. Two questions for Tenda. You mentioned that you may have more a difficult year next year. But with the delivery of the legacy, and using the new model, do you expect that Tenda will grow? How much do you think Tenda could grow with launches new projects in Tenda? And the second question concerning Tenda. When you delivered the legacy, but when I look at the evolution of the inventory in the government’s program, the inventory went – the inventory was lower. It’s outside the government program, when you look at the government program, inventory is flat. So are you selling more outside the government projects than in the government projects? Please comment.
Rodrigo Osmo: [Interpreted] Hello, Gustav. Rodrigo. Concerning 2016, we are not imagining an expansion. We believe, there is a lot of new information. The context has changed. In some aspects, it is worse, the context. In some aspects, we have some opportunities. What is worse? We have Casa Minha Vida 3 and our evaluation has parameters that are worse, especially concerning the higher interest rates and social factor, which reduces the subsidy given by the government. The credit is more difficult. Banks are placing restrictions on credit, especially for our clients, not due to the availability of funding but due to precautions, risk of delinquency. Apart from that, with the extension of Range Number I, many important players in [indiscernible] are now making efforts only in Range Number II. So the competition especially buying plots of land is getting more fierce, competition is getting more fierce. The opportunity is 1.5 range, 1.5, but it’s a question mark for the time being. In 2016 the guidance is not to increase 1.5. We were going to have some pilot projects, and once we are sure that it is practical, then and knowing the right size of this segment then we can really increase sales in 2017. Concerning inventory, the difference between legacy and the new model is that in the legacy, we are not launching everything. We are only selling the legacy. The new model, we had a very strong quarter in terms of launches, R$218 million – R$219 million in launches and then these R$219 million, R$171 million were launched in the previous month and in projects that had less sales – few sales. So for the time being, we’re not concerned with the speed of sales, although credit has deteriorated. We have been able to offset this with a stronger investment in marketing. For the time being, we have had a good response. Our speed of sales if we look between legacy and the rest, it’s 27%. 27%, so a very healthy level.
Gustavo Cambauva: [Interpreted] Thank you. What I wanted to know about the legacy, the part. Outside the government program, you sold very well, better than the part that is inside the government program, Minha Casa, Minha Vida. Have you made additional efforts, or access to credit? Is their access to credit, financing? Please comment this area.
Rodrigo Osmo: [Interpreted] These are normal sales. For example, a positive news in the government program is that most of our projects that today are outside of the government’s program, and our legacy, for these, of the legacy, 2016 should be better than 2015. But we haven’t had any direct financing, nothing very different.
Gustavo Cambauva: [Interpreted] Thank you.
Operator: [Interpreted] The next question comes from Nicole Hirakawa from Credit Suisse.
Nicole Hirakawa: [Interpreted] Good morning. I have two questions. The first about the government program, Minha Casa Minha Vida. The social factor, is it known, you mentioned also the third phase that the third phase should be worse than the second phase, and we’ve heard something different in the competitors. We see an increase in the range of income. But you also have negative numbers because of higher interest rates. Could you comment on this? And the second question is about the level of leverage and also debts in Alphaville. When we see the leveraged buyouts, we see that things went up to – things went up.
Unidentified Company Representative: Hello, Nicole. Well, we are a little more pessimistic than the rest of the companies in the market. We’re in a segment that is different from the competitors. I’ll be specific. There was an article in Valor newspaper where [indiscernible] and Tenda gave interviews and Felipe was the only one that was pessimistic. What’s the difference between the companies? [indiscernible] works a lot in Range Number III. So the higher value of the units was good news for them, because this included many of their projects that could not be included in the government program and now it can be included due to the higher ceiling. They also suffered with units that were not part of the government program, and now with the higher ceiling they were able to increase. The problem, because we are only in metropolitan regions and only in Range Number II. The main issue for us was the client’s capacity to pay, the buying power and this is linked to the interest rate. To give an idea, the family that has an income of R$2,000, if it were 0.5% higher interest rates, they lose the capacity to pay related to R$5,000 to R$7,000. So R$150,000 for an apartment is a lot of money. That’s why we’re a little pessimistic with the increase of interest rates since subsidies went up, but we also have the social factor. The social factor, I don’t know, if it’s already resolved in the government, if it’s standardized, I don’t know. The government understand, but it’s standardized, it’s defined. Units sold to two buyers, for example, a couple, two brothers, or one buyer with a son or a daughter, it has 100% of the subsidy. Anything different, it’s 60% subsidy only. So you have cities. Sao Paulo, the ceiling was R$21,000, now R$27,500. So, for example, a family that has an income of R$2,200, let’s say that they receive the subsidy of R$10,000. There are families that will receive R$12,000, but other families will receive only R$7,000 in subsidies. So in Sao Paulo this can be negative instead of positive. So, this subsidy is something we will have to see how it will continue. But maybe the benefit will not be that great.
Nicole Hirakawa: [Interpreted] Yes. It’s clear. Thank you.
Andre Bergstein: [Interpreted] Nicole, Andre. Alphaville, we have plots of land, this is different. We don’t have the benefit of the savings programs and most of the funding comes from the CDI. And the higher interest rates gave us a higher financial expense and an impact. Alphaville, when we finished the transaction, we had a higher leverage. It was more leveraged. But we – the impact is coming from the funding structure and the CDI loans and the current interest rates. On the other hand, Alphaville has a better operating flow and this offsets a little these results and also offsets a little bit of the interest rates.
Nicole Hirakawa: [Interpreted] Thank you, Rodrigo, Andre.
Operator: [Interpreted] The next question is from Mr. Alex from Itau BBA. You have the floor, sir.
Unidentified Analyst: [Interpreted] Good morning, gentlemen. Could you please comment on the reason for the reduction in EBITDA since the March and this quarter improved, especially due to the downsizing? Second question, could you talk about the spin-off of Gafisa tender, actually?
Andre Bergstein: [Interpreted] Alex, Andre. Concerning Gafisa margin, we have maintained a constant margin during the last two years has been around 35%, 38%. Gross margin and financial expenses were lower. There is an impact, of course, some discounts in some projects due to more difficulty in the liquidity. This has an impact, yes. And so there is an impact from discounts. We don’t see this as a trend. It depends on the market, of course. So we have had good campaigns with consistent sales. But depending on the product, if it’s ready, whether it’s ready or under construction, yes, there can be an impact. Not very relevant though. Concerning the spin-off, what we wrote in the release, we don’t have, at least, we’re working to understand to see the best capital structure for Tenda. We haven’t had a great evolution, we’re continuing to analyze their conversations. This will – maybe at the beginning of next year, we may give you some more information.
Unidentified Analyst: [Interpreted] Thank you.
Operator: [Interpreted] Next question, Mr. Guilherme Capparelli from Citibank.
Guilherme Capparelli: [Interpreted] Good morning. My question has to do with the profitability. You got good results of sales, but the net consolidated profit is very low. And do you have a goal that you want to reach next year and the D&A for next year?
Andre Bergstein: [Interpreted] Hello, Guilherme, Andre. We mentioned the points. Of course, the lawsuits are hurting the results. We had also the financial expenses of Gafisa. Now talking about the two companies, there is a consistency, a great operational consistency, a great comfort in the execution for a number of shareholders. The gross margin, as you mentioned, there are some issues in EBITDA, we’re working on them. So we’re – the two companies are preparing the business plan for next year. We update this every year. So we continued focusing to have more consistency and improvement in the sales – in the speed of sales. And we don’t have numbers to give you. We’re working on them. In terms of sales and general expenses, we had a good reduction in sales and administrative expenses, Gafisa 15-year, 15% reduction in administration and sales expenses. The two companies were after this to be in line and to be in line with the market. We will work on the plan until the end of the year. Of course, we have our guidance that we follow, return on capital and we continue to work on this.
Guilherme Capparelli: [Interpreted] Thank you.
Operator: [Interpreted] Next question from Luiz Mauricio Garcia from Bradesco.
Luiz Mauricio Garcia: [Interpreted] Good morning. I have two questions for Tenda, one for Gafisa. Tenda. Rodrigo, as you answered, you talked about some projects that were in Range Number I of the government program. One thing we have seen, the complexity of the program is really a lower speed in the projects in Range II and III. This complexity may continue. It’s bad for you and even worse for new entrants in this market. How do you see this? These companies that were outside this Range are catching up. And do you believe they will also have slower speed of sales, because we believe it’s bad for those who are in this market and even worse for those who are entrants? We also saw Felipe answering that you had a non-recurring event, other operational expenses. How do you see these accruals in the future? There is volatility, we know. And looking at Tenda, there are many accruals for cancellations and others. If you can update how you see it grows today. Do you have – d o you think you have an over amount – a very high amount in accruals, or do you think it’s adequate? Andre, also, it’s curious, even knowing that the sale of the inventory were 100%, which is not the case, when we look at this, we can’t get to a strong revenue in the future, this scenario will stand out, because in Gafisa you have the revenue, you have the sale of inventory. How do you see this issue of revenue in the future and the level of revenue when you sell the inventory? What can we expect in terms of revenue for Gafisa in the future?
Rodrigo Osmo: [Interpreted] Well Luiz, now beginning to talk about the recovery of the players and the new players without mentioning any names, Range II, we have said this to the market, it’s a segment where execution is very difficult. High turnover, low profit margins. Since we began to launch again, it took us three years. I won’t say we’ll get to R$1billion this year, but there is a trend of R$1billion. We went from R$300 million to R$600 million to R$1billion. And I believe this difficulty that we had will also happen in other competitors. In the past we didn’t have a landbank. We needed to develop new things for Range II. The difference in the case of competitors is that they have a history of more success in low income than we had. So we’re talking about [indiscernible]. These are traditional companies, competitors. They have a knowledge, and understanding of low income that was better than ours when we began to launch again. I believe that this recovery, everyone has a great challenge. The competitors have a great challenge to grow and reach a scale that will generate profitability. So I agree with you. If it’s difficult for us, they have an additional challenge, because they are smaller than we are in Range Number II.
Felipe Cohen: [Interpreted] The issue of accruals, just reinforcing, we had some non-recurring events. We had a reallocation of costs, expenses that were – had an impact and we reallocated them with accruals. It was just a reallocation and this affected gross margin expense and increased D&A too. When we analyze non-recurring adjustments, as you mentioned, R$5 million in losses. This is explained by the adjustment in lawsuits. We’ve been making adjustments since last year. And now, in August, we had this significant impact of R$16 million concerning this point. We don’t expect any other adjustments in terms of core deposits. So we don’t expect to have additional surprises. We had gains of R$11million and this is due to partners. We don’t believe we will have this performance. It was only an adjustment in this quarter. So looking at the future, the contingency line will continue hurting Tenda. We have the problem of the legacy projects. So this has an impact. They are slow and we have been making accruals at – accruals that we believe are at an adequate level. We may have surprises. We don’t have any objectives for next year. In Gafisa we had a bonus, a reduction in contingencies. And if we look at the number that we had in the past and now, the performance this year is worse than what we imagined. Tenda was compensated by improvements we will see in the future. We’re beginning to prepare the plan for next year, the business plan. And we will work to maintain accruals at an adequate level.
Sandro Gamba: [Interpreted] We have seen these results. In this quarter we had a revenue that was higher than average, R$350 million per quarter. There is an explanation. First, the type of sales – based on the type of sales. We had, for example, some write-offs and cost reduction. We had projects that ended. We finished them with expenses below budget, so this had an impact improving revenue. Now, looking forward, we as you said, we have almost R$600 million in two quarters. And this is due to the situation in the market. So we are analyzing this and making plans for next year and concentrating on sales. We have a difficult market, but we’re being able to make progress. So we’re looking at this, discussing and working to have a sales volume that will be adequate, and also concentrating on certain types of products.
Luiz Mauricio Garcia: [Interpreted] Could you give us an idea of the cost savings you have had?
Sandro Gamba: [Interpreted] Mauricio, we have concluded some projects, most of them below the budget. This represents important savings in some of them, below the budget, as I said. We’ve seen this in the projects we have concluded. It depends on the quarter, the reductions we were able to have in each quarter. And the accruals, 2% to 3%.
Luiz Mauricio Garcia: [Interpreted] Thank you.
Operator: [Interpreted] The next question Mr. Marcelo Motta from JPMorgan.
Marcelo Motta: [Interpreted] Good morning. Could you comment on cash generation? The company has reduced the consumption of cash. How do you see this for next year, 2016? In deliveries, what can we expect in terms of cash flow for next year?
Andre Bergstein: [Interpreted] Marcelo, Andre. Talking about Gafisa, Felipe can talk about Tenda, in Gafisa we had R$60 million and a cash generation also. We did not have deliveries. And this didn’t – we had more commercial, and we hope to have – we will have more residential units sold that will give us more revenue. So, in the last quarter, it will depend on sales collections. I don’t see a great difference. Maybe a little superior in relation to the third quarter.
Felipe Cohen: [Interpreted] Now talking about Tenda, since last year we have been saying that 2015 would be a different year. Tenda would be consuming cash due to the growth in the new model. And the new model has a cost. Tenda continues to be active in buying plots of land. We are recycling the landbank in order to operate based on the return we intend to give to shareholders. Launches R$1billion, and R$1.2 billion. Today we are already have a landbank of R$4 billion, which is similar to the previous quarter. But by region we see that it’s not balanced. There is the need to buy plots of land in some metropolitan regions where we work. And one example is Sao Paulo. Looking at 2016, we would, in 2016, we would be in the right model, which is that of generating cash. As Rodrigo said, next year will be a challenging year. So we don’t expect to grow very much. So this model, we have this balance in cash. This should not continue next year.
Operator: [Interpreted] [Operator Instructions]. The next question from Mr. Walter Ramos from Tri Capital Corporation.
Walter Ramos: [Interpreted] Good morning. Congratulations for the solid result in the third quarter in a country where it’s difficult to operate. My first question, could you explain once again the reason for the drop in financial revenue of R$34 million to R$23 million in the third, which you talked about the swap line that caused this drop. Could you comment once again?
Andre Bergstein: [Interpreted] Okay, Walter. We had this drop, R$12 million, due to the swap we had in a credit line from last year. And to balance the other debts, we swapped this to the CDI. And with the higher interest rates, we had this impact. It wasn’t only this that generated the difference, but it’s a non-recurring event. These R$12 million will come back. It depends on the impact of the curve. So there won’t be an impact in the fourth quarter. It will depend on the interest rate curve. For the time being, it’s flat in relation to the third quarter. If it goes up or down, there may be an impact, yes.
Walter Ramos: [Interpreted] The drop was R$21 million. Do you attribute this to the cost of the swap to R$12 million and the Brazilian rates went up from June to September. How do you explain the difference of R$8 million? Do you have a balance between cash investments and financial expenses?
Andre Bergstein: [Interpreted] So, right now we had this impact from the interest rate. Also some anticipations. Clients pay some installments in advance, so you have a reduction there.
Walter Ramos: [Interpreted] Okay. Thank you. Would you give us a vision of the fourth – could you give us a vision of the fourth quarter in 2016?
Sandro Gamba: [Interpreted] That would be difficult. I believe it’s a good opportunity. We will make comments at the end. Also we will have an event on December 10. You’re all invited. We will have an event on a Thursday here at the headquarters of Gafisa. Then we will have an opportunity to speak more about perspectives for the next year.
Walter Ramos: [Interpreted] Okay. The last question. Is there a forecast of when you will announce and when you will pay dividends for the fiscal year 2015?
Sandro Gamba: [Interpreted] We’re still working on the schedule and the right dates for 2015. As soon as we have the dates, we will inform you.
Walter Ramos: [Interpreted] Thank you.
Operator:
.:
Unidentified Analyst: [Interpreted] Good morning. Andre, the results shows us the solid position of the company. We have analyzed Gafisa. Looking at leverage, control of leverage, it’s very good, characteristic of the debts. More than two-thirds after – are after 2018. That’s good, although you have a concentration of debts next year. But your cash position shows that you are preparing yourself for these payments. Now, there is an uncertainty in relation to the future for Gafisa, also linked to the decision of the spin-off, because there’s an important impact, as I said, in the future of Gafisa, the issue of the spin-off. So, the relationship of price and profit in Gafisa is much higher with the uncertainty of what will be done when we talk about the spin-off, even with a better management of the capital structure. Once the markets believe that their shares are too expensive in relation to competitors and this could compromise your project situation?
Sandro Gamba: [Interpreted] Hello, Gilberto. Concerning the potential of the spin-off, we’re working on this since last year and we’re looking at the operations of the two companies and the results of the two companies and looking forward, independent of the improvement in Tenda. This had been forecasted. So Tenda now is working with a new model. We knew that this year would be important for this so the idea of the spin-off was developed. We’re working on it since last year. And whether Tenda or Gafisa, whether one is better or the other is worse, this will not affect this. When we have more visibility in terms of these issues, we will communicate this to the market. So that’s it. I don’t know if I answered your question. Concerning the spin-off, a diligent management and the cash situation, these may not be enough to show the future performance and value, whether the protection of the share price is adequate. I believe that the price of the share has to do with the current situation. I have no doubts that we now have a more clear situation, more visibility. The capital structure is okay. We had – we have – we see some – we see the debt below 15%. And this really helps, together with the cash flow, the cash flow generated by the project. So we’ll see that things are getting more clear in terms of the two companies. Gafisa, with a focused strategy on – a focus on Sao Paulo, residential, some commercial. Tenda, government project Range II. This has an effect on the share price and the visibility. Now we – I don’t see problems in the capital structure, or one company hurting the other. I don’t see that.
Unidentified Analyst: [Interpreted] Thank you.
Operator: [Interpreted] Since there are no more questions, I would like to pass the floor to Mr. Andre for his final comments.
Andre Bergstein: [Interpreted] Well I’d like to thank you all for being with us. We had very good questions. And once again, I’d like to reinforce what I said. In December we will have an event here at the headquarters of Gafisa. You’re all invited. It’s a Thursday. We will be talking about expectations, the company, the operation, and that’s it. Thank you very much and we wish you a good afternoon.
Operator: [Interpreted] The audio conference of Gafisa is concluded. We thank you all for your participation. We wish you a good afternoon.